Olga Levinzon: Hello, everyone. This is Olga Levinzon, Coty's Senior Vice President of Investor Relations. Thank you for joining us today for the prepared remarks portion of Coty's Fourth Quarter Fiscal 2025 Earnings. On Thursday, August 21, 2025, at approximately 8:00 a.m. Eastern Time or 2:00 p.m. Central European Time, we will hold a separate live Q&A session on our results, which you can access via our Investor Relations website. Joining me for our presentation are Sue Nabi, Coty's CEO; and Laurent Mercier, Coty's CFO. Before I hand the call over to Sue, I would like to remind you that many of the comments today may contain forward-looking statements. Please refer to Coty's earnings release and the reports filed with the SEC, where the company lists factors that could cause actual results to differ materially from these forward-looking statements. In addition, except where noted, the discussion of Coty's financial results and Coty's expectations reflect certain adjustments as specified in the non-GAAP financial measures section of the company's release. Thank you. I will now turn it over to our CEO, Sue Nabi.
Sue Y. Nabi: Thank you, Olga. Welcome, everyone. As fiscal '25 closes, marking the fifth year that Laurent and I have had the privilege of leading Coty, it's important to reflect on what has been accomplished in the last 5 years and where we are going next. Today, Coty is a much stronger, more focused and more resilient beauty leader with 5 years of consistent performance. These solid foundations position us for continued profitable growth and industry leadership in innovation, science and, of course, creativity. Let me turn it over to Laurent to review our progress in the last 5 years, our recent results and fiscal '26 outlook.
Laurent Mercier: Thank you, Sue. Over the past 5 years, Coty transformed, refining our strategy, strengthening our portfolio and consistently delivering results. We also consistently outperformed global peers, particularly in Prestige, delivering like-for-like growth ahead of global peers like L'Oreal, Estée Lauder, Shiseido and LVMH Perfume and Cosmetics division in most quarters from fiscal '21 to fiscal '24. A key pillar of our transformation is our strengthened leadership position in the Prestige fragrance business, underpinned by a step change in our capabilities. Prestige fragrances are now a $3.5 billion business for us, delivering a robust CAGR of plus 10% from fiscal '21 to fiscal '25. This is a testament to our brand portfolio, consistent execution and our ability to repeatably deliver blockbuster launches in this offer- driven category. Our transformation also includes revitalizing Consumer Beauty over the past 5 years. We restored this business to growth, stabilized distribution and renewed the brand equities across key brands, including CoverGirl and Rimmel. These efforts translated to a plus 2% CAGR from fiscal '21 to fiscal '25, signaling the meaningful progress after multiple years of decline in Consumer Beauty. Importantly, we achieved all of this while delivering strong financial results. From fiscal '21 to fiscal '25, EBITDA grew at a CAGR of plus 9% from $760 million in fiscal '21 to $1.08 billion in fiscal year '25 despite absorbing several hundred million in sales loss from our divestiture of Lacoste and our Russia exit. We are now on our second year of delivering EBITDA above $1 billion. Over that same period, we expanded our EBITDA margin by 190 basis points to 18.4%. We also remain disciplined in deleveraging the company, reducing our leverage ratio from around 6.8x in fiscal '21 to around 3.5x in fiscal year '25, a reduction of around 3.3 turns. Our financial transformation is also reflected in our significantly improved credit profile. Since fiscal '20, we have received 12 consecutive debt rating upgrades. Today, Coty is just 1 notch below investment grade across all 3 major rating agencies, a clear recognition of our strengthened balance sheet, consistent execution and disciplined financial strategy. While we have made significant progress, this year brought its own set of challenges. The combination of fueling multiple growth engines, maintaining high 20s percentage A&CP investment and meeting EBITDA and deleveraging goals added pressure in an increasingly complex market. These dynamics shaped the difficult fiscal year '25 backdrop, and we expect these pressures to persist through the remainder of the calendar year. From fiscal year '21 to fiscal year '24, we delivered strong top line growth, profitability and deleveraging despite significant external challenges, including the Russia exit, the Lacoste license divestiture and supply constraints. However, this strong and our focus on meeting financial commitments mask early signs of emerging challenges in the business. Specifically, we were delayed in intensifying weaknesses in our U.S. execution, retailer inventory buildup and headwinds from lapping fiscal year '24 innovation, all of which were significant pressure points in fiscal year '25. As we shared last quarter, we have been actively depleting this trade inventory, which drove our very weak Q4 and expect further though somewhat lower destocking impact into the first half of fiscal year '26. Importantly, fiscal year '24's blockbuster launches Burberry, Goddess; Cosmith, Kylie Jenner; and Marc Jacobs, Daisy Wild created a high comparison base, adding more pressure to fiscal year '25, which focused more on extensions. In fact, we have continued to build key fragrances franchises with like-for-like Prestige fragrance revenues 18% higher than 2 years ago, highlighting our strong underlying expansion. This is a key learning, and our focus going forward is to return to blockbuster launches and ensure steadier innovation cadence to reduce volatility in sales growth. The U.S., our largest individual market at nearly 1/4 of sales was a major headwind in fiscal year '25 and the top driver for our underperformance. While we've consistently gained share in Prestige across most regions, we lost share in the U.S. in both prestige and mass. The U.S. Prestige beauty market grew by approximately 4% in fiscal year '25, but our like-for-like sales declined by a mid- single-digit percentage. The U.S. mass beauty market declined by roughly 1% in fiscal year '25, while our like-for-like sales declined by a mid-teen percentage. This underperformance drove all of our like-for-like sales decline in fiscal year '25 and the majority of it in Q4. Investor focus on our U.S. mass business led to a disproportionate investment in that area at the expense of our true centers of excellence, Prestige and mass fragrances. Going forward, we intend to allocate our investments where ROI and both short- and long- term opportunities are strongest, even if it means further weakness in the U.S. Nielsen data. The challenges of fiscal year '25 coincided with moderating growth in the broader beauty market. Prestige fragrance growth has moderated gradually from exceptional growth in prior years, though market trends are incrementally stronger in Q4 compared to Q3. The mass cosmetics category saw a sharper category slowdown from high single-digit percentage growth in fiscal year '24 to mid-single-digit percentage decline in Q3 and low single-digit percentage decline in Q4. Our analysis of cosmetics category weakness points to value-seeking behavior, some fatigue with innovation as consumers circle back to basics and less frequent usage, particularly with Gen Z migrating to fragrances. U.S.-specific factors like in-store and anti-theft measures and immigration policy changes have also contributed to the slowdown. Both prestige and mass retailers are also recalibrating working capital strategies amid macroeconomic uncertainty with active reductions in days of inventory. And in Asia, ongoing disruption continues to add complexity to the beauty landscape. These dynamics underscore the importance of agility and nimbleness as we navigate the current beauty market environment. Against this backdrop of external and internal challenges, our Q4 results were broadly in line with expectations and our recent guidance. That said, we continue to face near-term headwinds. Fiscal year '25 net revenues declined 2% like-for-like and Q4 revenues declined 9%, in line with previous guidance. However, the picture is different by division. In Prestige, the market grew 3% in fiscal year '25, and our sell-out was right in line with this level. However, our Prestige revenues were flat like-for-like, reflecting retailer destocking, lapping fiscal year '24's blockbuster innovation, a more promotional environment and headwinds in Prestige Cosmetics. In Consumer Beauty, the dynamics are different. While the mass beauty market grew 2% in fiscal year '25, our sell-in and sell-out both declined by 5%, driven by rapid channel shifts, media investment reallocation away from lower return areas and competitive pressure. These dynamics underscore the importance of our ongoing reset and strategic rebalancing heading into fiscal year '26. In Q4, Coty sales declined by 9% like-for-like, again, a market that grew 3% as we took decisive steps to clean baseline. Our Prestige sell-out grew low single digits in Q4, roughly in line with the market. But as anticipated, we saw a gap between sell-in and sell-out. And in Consumer Beauty, our sell-out declined high single-digits percentage against a modestly positive market with our sell-in even lower. Our actions to rightsize inventory levels are impacting near-term results, but are necessary for a healthier trajectory ahead. Despite sales headwinds, we remain focused on fueling healthy gross margin expansion. In fiscal year '25, our adjusted gross margin was 64.9%, in line with our target of approximately 65% adjusted gross margin this year. This strong adjusted gross margin expansion of 50 basis points was fueled by supply chain savings, including procurement savings and productivity gains, excess and obsolescence reduction and a net benefit from carryover pricing. Our Q4 adjusted gross margin declined by 190 basis points, broadly consistent with our expectations, reflecting both the lower revenue base and a much more promotional environment across both Prestige and Consumer Beauty. In the fourth quarter, adjusted EBITDA declined 23%, primarily reflecting the operating deleverage in the business with lower sales and lower gross margin. For fiscal year '25, adjusted EBITDA was slightly down to $1.08 billion, resulting in an EBITDA margin of 18.4%, which expanded by 60 basis points year-over-year and was supported by short-term savings, which we do not expect to recur as well as our focus on cost discipline and managing margins. Our Q4 adjusted EPS, excluding the equity swap, was $0.02, bringing the fiscal year '25 adjusted EPS to $0.50 at the upper end of our revised guidance. Our progress on deleveraging and lower interest expense enabled us to deliver 4% adjusted EPS growth in fiscal year '25 despite lower operating income. As a reminder, fiscal year '24 adjusted EPS benefited from a discrete tax hurt of $0.03, which did not repeat this year. Fiscal year '25 free cash flow was $278 million, a little below of our target of around $300 million due to lower cash profits and higher customer overdues amid a challenging retailer backdrop. We ended Q4 with leverage of 3.5x, up 0.2 turns from the start of the fiscal year. Notably, depreciation of the U.S. dollar added roughly $200 million to our debt balance. Without this ForEx impact, our leverage would have been roughly flat with last year. As discussed last quarter, we have launched the next phase of our All-in to Win program to deliver $130 million in annual fixed cost savings through the end of fiscal year '27 in addition to our continued productivity savings. We already kicked off this program, generating modest fixed savings in Q4 in addition to $140 million of productivity savings. We continue to expect about $80 million in fixed cost savings in fiscal year '26 in addition to about $120 million of productivity savings. Altogether, this will bring the cumulative savings under the All-in to Win program to approximately $850 million between fiscal year '21 and fiscal '25 with another approximately $370 million targeted for the next 2 years, providing us the flexibility to reinvest in growth, offset inflationary and other cost pressures and support profit expansion. Coty's significantly lower leverage and stronger balance sheet position us well for a wide range of macroeconomic scenarios. We remain focused on further deleveraging through strong cash protection plans and EBITDA expansion. We expect to refinance calendar year '26 maturities subject to market conditions. And on Wella, while there are no updates on monetization, so business continues to perform well, and we fully remain committed to divesting our financial stake. As with the SKKN divestiture, we are focused more than ever on assessing our portfolio to ensure the right composition for the coming years. Let me also take a minute to update you on the tariff topic. The global geopolitical and tariff situation remains fluid, adding to broader uncertainty and softer consumer sentiment. That said, Coty is relatively well positioned with roughly 28% of sales in North America. For Consumer Beauty, which is about 12% of our global sales, our products are primarily manufactured locally in the U.S. In Prestige, about 16% of our global sales, our fragrances are manufactured primarily in Europe, consistent with our beauty peers. Our finished goods sourcing from China is negligible aside from local sales. Our teams are actively preparing for multiple scenarios with plans in place to minimize impact. Under the current tariff framework, the most significant potential headwinds are the newly imposed 15% U.S. tariff on European imports affecting Prestige fragrances and the 30% plus tariffs on Chinese imports impacting components and marketing materials. We have several mitigation levers in place. For Prestige fragrances, we have built up U.S. inventory with several months of coverage. We are implementing a mid-single-digit price increase on Prestige fragrances in the U.S. in August, though we anticipate some of the pricing benefit to be offset by a more promotional market. And importantly, we are now actively transferring fragrance manufacturing to the U.S., which I will discuss in more detail shortly. For components and marketing materials sourced from China, we have already begun to diversify supply. Importantly, these mitigations are being executed carefully to minimize disruption to operations, distribution partners and long-term health of our business. Based on our current assumptions, we estimate a gross tariff headwind of approximately $70 million in fiscal year '26 with the non- price mitigation steps offsetting roughly $15 million to $20 million of the impact primarily in the second half. As we look ahead to fiscal year '26, consistent with what we have discussed last quarter, we expect sequential improvement in sales and profit trends compared to what we reported in Q4. We expect the organizational changes we are implementing in the U.S. to begin yielding results and building over the course of the year. Therefore, we anticipate net revenues to remain negative in the first half as strong contribution from innovation, new subcategories and support from distribution gains are offset by headwinds from a trade inventory reduction, more promotional environment and elevated year-over-year comparisons. Importantly, we anticipate net revenues will turn positive in the second half with further new launches and as year-over-year comparison ease. The combination of lower sales, a net negative impact from tariffs and the anticipated restoration of variable compensation will weigh on EBITDA in the first half. However, we expect EBITDA to be positive in the second half of fiscal year '26, supported by a return to sales growth and stepped-up contribution from our tariff mitigation plans. Let me share some more concrete guidance for the first half of the year. Consistent with our prior outlook, we expect a gradual improvement in sales trends over the course of fiscal year '26 from the Q4 '25 like-for-like levels. We anticipate a like-for-like decline of 6% to 8% in Q1 '26 and a like-for-like decline of 3% to 5% in Q2 '26, with sequential improvement in like-for-like trends in both Prestige and Consumer Beauty. On the reported net revenue side, we estimate a low single- digit ForEx benefit in the first half. We anticipate gross margin pressure in the first half of fiscal year '26, driven by lower sales and the net impact of tariffs. Importantly, we expect pressure from tariffs to be more pronounced in the first half of the fiscal year as we anticipate our mitigation efforts will contribute more meaningfully in the second half of the fiscal year. the step-up of fixed cost savings as part of our All-in to Win program is expected to broadly offset the negative impact from the resumption of variable compensation. I do want to flag that we would expect fluctuation in the quarterly phasing of net fixed cost as the savings build over the course of the year, while the year-on- year negative impact from variable compensation will be most pronounced in Q2 and Q3. Therefore, we expect a gradual profit trend improvement from Q4 '25 with adjusted EBITDA declining by a mid- to high teens percentage in Q1 '26 and declining by a low to mid-teens percentage in Q2 '26. The benefit from both lower interest expense and a lower tax rate is supporting relatively better adjusted EPS, excluding the equity swap of $0.33 to $0.36 in the first half, reflecting a high single-digit to mid-teens percentage decline. We estimate seasonally stronger free cash flow in H1 fiscal '26 of over $350 million, resulting in leverage at the end of calendar year '25, approximately in line to below the Q4 '25 level of around 3.5x, reflecting the lower adjusted EBITDA and ForEx headwinds from the euro-denominated debt. Now turning to the second half expectations. We expect our like-for-like sales to return to growth in the second half, supported by both divisions, including several major launches in both divisions as well as more favorable comparisons. We also expect to return to adjusted EBITDA growth in the second half, which will fuel adjusted EPS growth. Our goal is also to continue on our deleveraging path in calendar year '26 as we target reaching an investment-grade profile. Now let me turn the call over to Sue to discuss our evolution in lockstep with the beauty market.
Sue Y. Nabi: Thank you, Laurent. As the beauty market evolves, we're entering the next phase of Coty's transformation. We are refocusing on our core strength, the categories, brands and capabilities where we have a clear right to win and can deliver outsized returns. This strategic shift will help us prioritize investment, streamline execution and unlock greater value in the most attractive areas of the market. As we shared at CAGNY earlier this year, we are adjusting our strategy in step with the rapidly evolving beauty market. Our strategic focus is leveraging Coty's leadership and best-in-class capabilities in global fragrances and scenting to drive strong growth. Fragrances already represents over 60% of our revenues and even larger portion of profits, making them a powerful growth and profit engine. At the same time, we are focused on growing Coty's footprint and diversification in a select number of structurally profitable and growing beauty categories and geographic markets where we can scale effectively and deliver outsized returns. Our focus on scenting and fragrances across the full price spectrum from $5 to $500 and across our owned and licensed brands remains unwavering. It's a category where Coty has a proven right to win, supported by our best-in-class capabilities across R&D, manufacturing, marketing and of course, distribution. Our unwavering focus on fragrances is grounded in both scale and strategic capabilities. In the highly attractive $50 billion prestige fragrances market, Coty is a top 3 player with 12% market share, right in line with the second player, LVMH. Amongst the top 5 global fragrance players, only Coty and L'Oreal operate licensing models, meaning luxury brands have a limited set of partners who can build scaled global multi-category beauty businesses. We also lead the mass fragrance market, a $7 billion category across developed markets like U.S. and Europe. Here, we hold the #1 position with 11% market share, sorry, well ahead of peers, positioning us well to expand our portfolio with new owned and licensed brands. Our leadership in fragrances is underpinned by best-in-class end-to-end capabilities. We have leading internal R&D capabilities, including over 80 active patents and patent applications, mainly focused on fragrance longevity. And this know-how is anchored by our fragrance center of excellence in Geneva, including our leading perfumers. We also operate one of the largest fragrance plants in the world with a production capacity of over 200 million units every year. Commercially, we reach about 30 directly managed markets and have distribution across over 20,000 doors for our top brands in fragrances among the largest globally. Few global beauty players operate a licensing model and offer true end-to-end capabilities across R&D, manufacturing, marketing and distribution, giving us a distinct competitive advantage. Fragrances remain a structurally growing category, and we expect the structural drivers behind this renaissance to continue. We are seeing new cohorts entering the category, including men, Hispanic consumers and Gen Z, all of whom are expanding the consumer base while usage is increasing. Half of U.S. prestige fragrance consumers are now heavy users, up a couple of percent from a year ago, and that number rises to over 60% among Gen Z consumers. We are also seeing consumers move up the penetration curve Prestige fragrance penetration has grown meaningfully in the U.S., though it still trails Europe. And the fragrance Wardrobe is in full effect with consumers of all age groups regularly using about 4 different fragrances and remaining loyal to their repertoire, a significant change from a decade ago and they actively experiment with different scenting formats. Fragrances are central to the booming treatonomics trend, offering mood boosting value amid economic uncertainty. These trends reinforce our confidence in the category's long-term growth potential and Coty's unique position to lead scenting across price points and formats. While fragrance ward drops are expanding, as you can see it, loyalty remains strong and above other beauty categories. Users across markets consistently repurchase fragrances in their rotation. In the U.S. and China, over 70% of prestige fragrance users remain loyal to 1 to 3 fragrances, driving repeat purchasing. While brand loyalty in mass beauty is generally lower than prestige, mass fragrances loyalty in the U.S. and Germany is 2 to 3x higher than in cosmetics, supporting the category's appeal. All of these factors reinforce continued strong expansion of the fragrance category. According to McKinsey, fragrances are expected to lead beauty market growth through 2030 with a projected mid-single- digit compound annual growth rate. This reinforces our strategic focus on fragrances, the central engine of our business and where we absolutely have the right to win and lead. Now skin care. This category remains a strategic focus for the company, and we are committed to building this business steadily. Our portfolio, including Lancaster, Orveda and Philosophy, gives us a strong foundation to build from. As we've said before, scaling skin care takes time and patience, and we will continue to expand while remaining vigilant on our investment levels. We have a uniquely scaled platform in color cosmetics with strong R&D, marketing and distribution capabilities. However, pressure in the mass cosmetics market and an overweight focus on our U.S. mass cosmetics business from external stakeholders has led to our disproportionate investment in this area compared to more profitable categories. As a result, in light of the increasingly competitive environment and less attractive returns in the category, our focus is now on step changing the profitability in our cosmetics business. Mass cosmetics represents approximately 20% of our sales and delivers gross margins above 60%, but contributes only modestly to operating income. Our priority, therefore, is to reignite profitability in this business, ensuring it contributes meaningfully to Coty's overall P&L and cash flow rather than weighing on it. We'll be sharing more details on this in the coming months. In the meantime, we are capitalizing on the trends in cosmetics, including a boom in the lip subcategory as well as multitasking beauty products. In LA, as you can see, we are launching innovative new formats, including CoverGirl's Yummy Blur lipstick and Rimmel's Oh My Gloss Butter Me Up, both earning strong consumer ratings above 4 stars. In addition, we are launching new cosmetics and vanisher offerings like Rimmel's Multi-Tasker Jelly Crush and CoverGirl's Trublend Skin Enhancer Balms, delivering multi-use performance and trend forward formats with the latter driving CoverGirl's market share gains in bronzers and blush. We are acting, as you see it with urgency to return Coty to consistent and profitable growth. Let me share more on the actions we are taking to return to outperformance in the medium to long term. This spring, we announced a new regional structure to make Coty nimbler and more aligned with today's evolving channel landscape. We also appointed new leadership in the U.S., and that team is already beginning to make key changes. The U.S. is now benefiting from a seasoned leadership team and an overarching regional structure that adds another layer of experience and agility. We have also adjusted our bonus structure to better incentivize regional performance. Early green shoots are promising as in the U.S. prestige fragrance market, our sell-out gap has narrowed from 11% in Q1 to 5% in Q4, and we are even more encouraged to see that in July, our U.S. Prestige fragrance sellout grew double digits and 1.5x the market growth. We have also taken decisive steps to step change ROI and operational efficiency. The next phase of all-in to win is underway. And this quarter, we created a new Chief Performance and Operational Excellence Officer role filled through internal promotion. This role is focused on driving efficiency, improving return on investment, embedding data-driven decision-making across the organization and delivering incremental innovation. Additionally, our CSCO and new CPO will be evaluating our manufacturing and sourcing ecosystem to unlock further COGS improvements. These organizational adjustments are delivering early green shoots, including approximately $140 million in productivity savings and initial progress on fixed cost reduction. We remain on track to deliver approximately $200 million in combined fixed costs and productivity savings in fiscal '26. Amidst the shifting tariff global landscape with the newly introduced 15% tariff on European-made goods impacting all major fragrance players, we are strengthening our competitive advantages by actively transferring production of fragrances sold in the U.S. to our U.S. plant. We have recently completed the transfer of mass fragrances such as adidas and Nautica as well as fragrance Mists. By Q3, we will finalize the transfer of additional entry-level prestige fragrance products and adjacencies, optimizing the use of our existing U.S. fragrance capacity. And by fiscal '27, we are targeting to dual source production and key input materials across most of our fragrances. All of this reinforces the company's resiliency and relative cost advantage versus our peers who all produce in Europe. As e-com drives growth for both the industry and Coty, we made here a strategic shift in how we operate. Our digital and e-com teams are now embedded within local markets and brand organizations, enabling true omnichannel execution and commercial decision- making. This new structure ensures we are closer to the consumer, improves channel responsiveness and strengthens our position to win in the fast-evolving e-retail landscape, including TikTok Shop. We are already seeing green shoots. Our e-comm sellout continues to be ahead or in line with the broader e-commerce market in both Prestige and Consumer Beauty. We also elevated our Chief Information Officer, now serving a Chief Information, Digital Innovation and Business Services Officer through internal promotion here again. The role is central to accelerating AI implementation across the company. We have made here again early strides with AI already deployed across key functions, including marketing, digital, supply chain, procurement and finance. AI is already, in fact, embedded into Coty's core processes, not as a future ambition, but as a present day reality. In supply chain, we use AI for demand planning and have deployed a price chatbot in procurement to drive smarter, faster decisions. In marketing, AI powers media allocation models and supports content creation and optimization, including SEO copy generation and translation to improve efficiency and reach. And across back-end functions, over 60 robotics process automation bots automate tasks like account payables and IT help desk support. Combined with last year's SAP S/4HANA implementation, excluding Brazil, these tools are already improving speed, accuracy, return on investment, and we are just getting started, as you can imagine. Fragrances now, which are at the heart of Coty's portfolio. And in this space, we are best-in-class. As the beauty market evolves, this core strength remains a powerful engine for growth and, of course, value creation. Coty is uniquely positioned to win as the only global fragrance player actively targeting both the high and low-price tiers playing into the booming treatonomics trend. Even in a challenging fiscal '25, our core fragrance business continued to grow. Prestige fragrances grew by 2% like-for-like despite lapping blockbuster launches and navigating a normalizing fragrance category. This Prestige fragrance segment represents 60% of our sales, up from 56% just 2 years ago. Our mass fragrance business grew by 8% like-for-like, supported by strong brand momentum and increased media investment, now representing 7% of Coty's fiscal '25 sales. In fact, we have opened 23% more doors for mass scenting over the past 12 months, putting us in a good position for further growth in fiscal '26. And now on our ultra-premium fragrance portfolio, including collections like Chloé Atelier des Fleurs and Infiniment Coty Paris, we grew by 9% like-for-like, reflecting strong consumer engagement. These results reinforce the structural strength of the fragrance category and Coty's best-in-class position across the full price spectrum. Globally, in Prestige fragrances, we've gained or held market share in nearly every major region with the exception of the U.S. We have gained or held share across Europe, the Middle East, APAC, South Africa, Brazil and Global Travel Retail, a testament to the strength of our brands, innovation and execution in these markets. In Asia, excluding China, our sell-out grew approximately 4x ahead of market growth. The U.S. remains the outlier, but we are taking decisive action to address this, including new leadership, a more agile regional structure and targeted commercial interventions. With these changes underway, we are confident in our ability to close the gap and return to share gains in the U.S. over time. When it comes to fragrances, our innovations are best-in-class, and Burberry Goddess is a perfect example. Launched in fiscal '24, Goddess became the #1 female fragrance innovation ranking first or in the top 3 across all major markets in North America and Europe, including the #1 spot in the U.S., Canada and Germany. Goddess quickly became Coty's biggest fragrance launch of all time. Davidoff Cool Elixir is another example of our fragrance innovation in fiscal '25. It is quickly capturing momentum in key developing markets, driving 40% growth at our largest South African retail partners at the start of the quarter. And I'm thrilled to introduce now our latest major launch, BOSS Bottle Beyond. This campaign marks a bold new chapter for the BOSS Bottled franchise with a powerful message, BOSS recognized BOSS. We are proud to have a powerhouse of global ambassadors, Bradley Cooper, Vinicius Jr. and Maluma. Let's take a look at the new campaign. BOSS Bottle Beyond is already shaping up to be a blockbuster launch for both Coty and the industry. With the advanced launch in the global travel retail channel, early sell-in and sell-out are tracking above the levels we saw with Burberry Goddess at the same stage. Initial data points indicate that BOSS Bottled Beyond is a top-selling male fragrance in key doors, outperforming sales of key male icons like Yves Saint Laurent myself and Dior Sauvage. These early results reinforce the strength of the BOSS brand, the impact of the campaign and the effectiveness of our retail execution. As you can imagine, we are very excited to build on this momentum as the launch continues to roll out globally. Alongside Prestige, our Consumer Beauty fragrance portfolio is also showing standout performance. Adidas Vibes Fragrances, our largest Consumer Beauty launch in the past 10 years, drove over 20% like-for-like growth in adidas fragrance sales in both Q4 and the full fiscal '25 year. This success reflects a compelling mood boosting sand profile, strong media and retail execution and, of course, momentum in the adidas fashion brand. With adidas Vibes, we are building a full senting platform with long-term potential. We are also the only global player embracing the fast-growing fragrance Mist market. Recently, we've launched Mist collections under Calvin Klein, adidas Vibes, Nautica and Philosophy with plans to launch Mist across over a dozen of our Prestige and Consumer Beauty brands. Mist are affordable, complementary and strongly profitable with similar margin contribution. and they also unlock the access to the incredibly fast-growing $7 billion fragrance mist market. The early results are very promising with CK Mist being fully incremental to our CK fragrance business, attracting younger consumers seeking affordable PickMeup products. In fact, the scale and the margin profile of this adjacency means our multi-brand push into fragrance mist can deliver returns equivalent to a fragrance blockbuster launch. We are also rolling our internally developed senting projects with key retailers to drive incremental sales and expand distribution. Through our partnership, we've secured placement in nearly 4,700 Walmart doors and over 5,000 doors in the A.S. Watson network. Our first brand, the Origin fragrance collection launched exclusively at Walmart with additional brands planned across other key retailers later this year as we unlock new opportunities and reach additional consumers. As part of this sharpened focus with Consumer Beauty, we are taking a more disciplined profit-driven approach to color cosmetics by rebalancing resources towards higher return focused opportunities. This shift will unlock additional funds to reinvest in our more profitable fragrances business to further accelerate our growth. By focusing on our most loyal and profitable categories, we are fueling areas where we lead, margins are strongest and long-term value creation is highest. Now on our digital and e-com capabilities, which remains a powerful growth engine across the full portfolio of the company. In fiscal '25, we delivered $1 billion in e-comm revenues, a major milestone that reflects the strength of our omnichannel strategy. In Prestige, our fiscal '25 sell-out grew 13%, which is in line with the market, and our online market share held steady. In Consumer Beauty, our fiscal '25 sellout was even stronger at plus 18%, which is ahead of the market, and Coty's Consumer Beauty brands are here gaining market share. These results reinforce the power of our digital execution and the critical role e-com plays in driving growth. Social media advocacy, as you can imagine, continues to fuel strong momentum across our portfolio. Our prestige fragrance and skin care brands are resonating online, supported by advocacy strategy. For example, Chloe's global earned media value linked to influencer activity grew over 4x year-on-year, while skin care brand, Lancaster European EMV grew over 2x year-over-year. Our Consumer Beauty brands are also seeing strong advocacy momentum. Adidas mass fragrance global earned media value grew 16x while Chloe' cosmetic brand Rimmel grew 2%, lapping strong EMV momentum from last year. As we scale up advocacy, our focus is on recommendation and durable advocacy rather than virality, which is often short-lived. We launched Rimmel on TikTok Shop in the U.K. earlier this year, followed by CoverGirl in the U.S. and Risqué brand in Brazil. Our primary objectives are to drive awareness, earn media value and, of course, a halo effect around our products while also generating daily and monthly sales. Early signals are encouraging, especially in terms of social buzz and engagement, which is exactly what we're aiming to achieve with these new activations. Now our multiyear partnership with Amazon, which spans both consumer beauty brands and some of our prestige brands now for several years, which is well ahead of key competitors. In July, we launched Marc Jacobs on Amazon's Premium Beauty store, expanding the brand's distribution reach and strengthening our omnichannel presence. We have here also an exciting pipeline ahead with major launches and category expansions planned across the full portfolio. We have already kicked off fiscal '26 with the launch of BOSS Bottled Beyond and another major prestige launch is coming in the second half. We remain on track to launch Marc Jacobs makeup in calendar year '26, a distinctive and craveable assortment. Looking ahead to calendar year '27, we see a tremendous opportunity for Swarovski, our newly added license. This launch will unlock distribution in over 2,000 Swarovski stores in addition to the thousands of traditional beauty retailer doors. And building on this, we also expect to launch beauty lounge under new licenses, Marni and Etro in fiscal '27, further expanding our reach and category presence. Finally, as part of our ambition to be a leader in sustainability, let me highlight several key ESG milestones. First, our ultra-premium fragrance brand, Infiniment Coty Paris patented its art cycling innovation in the Netherlands, reinforcing the company's leadership in sustainable innovation. Second, we earned prestigious recognition for our sustainability performance, including Gold EcoVadis rating, placing Coty in the top 5% of companies assessed globally for sustainability performance. And we were also CDP Supplier Engagement A list, reflecting our collaboration with business partners to address climate change. We also launched new sustainability targets for our suppliers, further embedding our climate ambition across the whole value chain. This achievement underscore Coty's ongoing commitment to advancing sustainability across every aspect of our business. Let me now take a few minutes to wrap up with our key messages for today. As we look ahead, our focus is clear: reestablishing a healthy baseline for growth. In fact, we are targeting steady sequential improvement in like-for-like sales and EBITDA trends throughout fiscal '26, returning to growth in the second half. We are building on our already strong foundations to return to multiyear growth, including: one, a return to blockbuster fragrance launches already underway in Q1; two, leveraging our unique position as the only global beauty player with a fragrance portfolio across the full price spectrum; three, a robust attack plan for the rapidly growing fragrance mist subcategory; four, a sharpened focus on step-changing profitability in our cosmetics business; and five, the continued execution of our All-in-to-Win transformation program to protect profit and investment behind our brands. With these levers all in place, Coty is well positioned to return to multiyear growth and long-term value creation. In summary, our medium-term focus remains on outperforming the beauty market and expanding margins. Thank you very much.